Operator: Good day everyone. Welcome to Entegris, Inc. second quarter 2008 earnings release conference call. Today’s call is being recorded. At this time for opening remarks and introductions, I would like to turn the conference over to Steve Cantor, Vice President of Corporate Relations. Please go ahead, sir.
Steve Cantor: Good morning and thank you all for joining our call. Earlier today, we released our financial results for our second quarter ended June 28, 2008. You can access a copy of our press release on our website, www.entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward-looking statements. These statements involve a number of risks and uncertainties, and our actual results may differ materially. These risks and uncertainties are outlined in detail in this morning’s press release and in our most recent 10-K report, as well as in our other filings and reports with the SEC. We encourage you to read those repots and filings carefully. As we indicated in our last quarterly call we will only be referring to GAAP results in our financial discussion. On the call today are Gideon Argov, President & CEO; Bertrand Loy, Chief Operating Officer; Greg Graves, Chief Financial Officer; and Jean-Marc Pandraud, Adviser to the CEO. Gideon will now begin the call.
Gideon Argov: Thank you, Steve. Good morning, everyone. I will make some comments on our business trends and provide an update on a few ongoing initiatives. And then, Greg will provide some details on the financials. Despite a challenging semiconductor market second quarter sales of 148 million were even with the first quarter. Earnings per share of $0.04 improved sequentially as in benefited for the cost reduction we’ve put in place in the first quarter. Capital spending in the industry continued to move lower in the quarter. While our largely unit-driven model helped buffer against these declines, the lower CapEx did have a pronounced impact on our sales to OEM customers. Our OEM-related sales were down approximately 30% from the first quarter reflecting the downturn of the cycle. This was most evident in our second quarter revenues for contamination control solutions products such as fluid handling components and systems and liquids pumps. These products are key components to semiconductor manufacturing tools or are used in the build out of fabs and as such are heavily driven by CapEx spending. In contrast, sales made directly to fabs increased sequentially. This increase reflected several large shipments of wafer carriers such as our FOUPs which we can consider to be CapEx purchases before of the relatively long product lines. In addition, our sales of liquid filters were stable as utilization rates and fab production output remained at reasonably healthy levels. These filters are typically sold direct to fabs are replacement. As a result of these effects, our mix shifted to capital-driven sales slightly in the second quarter. Unit-driven sales were 62% of the total sales down from 64% on the first quarter due primarily to higher shipments of wafer carriers. Sales to customers outside of the semiconductor market represented approximately 20% of total second quarter revenues. This area is increasingly important part of our strategy since many of the markets in this area offered growth opportunities for a high performance solution. We are already addressing demand for operation on the flat panel and TFT market space and increasing our share there and we are expanding our presence with our existing products in other consumer electronics manufacturing applications as well as in the solar market. We took a major step to further expand and diversify our business with the agreement we announced earlier this month to acquire Poco Graphite, leading provider of specialized graphite and silicon carbide products and materials. This acquisition adds a strong, established, profitable, and growing business to our mix. It expands our materials of science, expertise, our tools, that if you will, beyond polymers which formed the core of most of our products. Poco adds to our offering of consumable products in the semiconductor market while adding fabs to grow and diversify our business outside of that market. But 40% of Poco sales are the semiconductor customers, the balance addresses high performance and its application in the EDM or Electrical Discharge Machining aerospace, specialty industrial and medical markets. As one example, Poco is the only FDA-approved supplier of graphite products for use in artificial heart valves and soft joint prosthesis. Poco, together with the specialty coatings business we acquired last year, will form the core of the new materials’ business. In addition to leveraging our coatings technology developed specialized coated graphite and silicon carbide products, we believe we can also expand Poco’s relationships with North American OEMs and as well provide Poco entry into Japan where currently has a minimal presence. With annualized sales of approximately $65 million, Poco will not only add the top line growth that we expect, it should also contribute approximately $0.05 per share of cash EPS in the coming year. We are waiting HSR approval and hope to close this transaction within the next few weeks. While we are excited about the diversification into new markets, we also remained confident about the potential of our core semiconductor business. Certainly, the addition of Poco’s graphite material’s expertise as well as its strong base of semiconductor business adds to our position in our core markets, but even more importantly, our new products are aimed at enabling 45 and 32 nanometer technology generation should position as well. We launched a number of these new products at Semicon West earlier this month including versions of liquid filters that set new industry standards for particle retention. We expanded our position in 193 nanometer lithography with the introduction of the new filter media and filtration systems for controlling siloxanes in and around the lithography scanner. Siloxanes are source of airborne molecular contamination that has become increasingly difficult and a costly problem for semiconductor manufacturers at advanced notes. Before turning the call over to Greg for some additional financial detail on the quarter, I want to thank my friend and colleague, Jean-Marc Pandraud for his many contributions over the past 30 years with Entegris and its predecessor companies, Mykrolis and Millipore. I also want to welcome Bertrand Loy in his new role as chief operating officer. Bertrand is no stranger to the company, having served previously as Chief Financial Officer with Mykrolis and as Chief Administrative Officer for Entegris since 2005 merger. Greg, will now provide some additional financial detail on the quarter.
Greg Graves: Thank you, Gideon. Good morning, everyone. Before discussing the second quarter results in detail, I want to mention our announcement this morning that we will file an amended 10-Q with the SEC to restate upward our financial results for the first quarter of fiscal year 2008. The restatement does not affect Q1 revenue or cash flows but does result in an upward correction to gross margin of $2.5 million and upward correction to EPS of $0.02 in the first quarter. The restatement related primarily to the incorrect application of foreign exchange rates to certain inner company profit eliminations. We intend to file restated first quarter financial statements concurrent with the filing of our 10-Q for the second quarter of 2008 on or about August 7. I’d also like to point out that the restatement impacts only the first quarter and has no impact on our fiscal 2007 results. As Gideon described, we are pleased with the financial results this past quarter given the weakening trend in the semiconductor market. Sales for the second quarter were $148 million even with Q1. We improved our operating performance and generated $31 million in cash from operations. Gross margin for the second quarter was 40.5% of sales compared to the gross margin of 43.2% in Q1. The decline related primarily to two factors, product mix and overhead absorption. Specifically, Q1 included a more favorable product mix while on Q2 we shift to greater proportion of lower margin microenvironment products. In addition, we reduced inventories by $7 million in Q2 which resulted in lower overhead absorption compared to the first quarter where we had higher factory output and increased in the inventory level by $4 million. Material cost for the quarter remained relatively stable compared to Q1 although we expect the higher cost of oil to negatively impact the prices for some of our raw materials such as resins as well as our transportation and freight cost going into the second half of the fiscal year. W We anticipate this will result in a 50 to 100 basis point negative impact to our gross margin in the second half. However, we expect to mitigate this impact through a number of initiatives including our product transfers to Malaysia which are intended to reduce the manufacturing and transportation cost of these products. The cost associated with this manufacturing move and product transfers were approximately $700,000 in Q2 or about even with Q1. The second quarter SG&A was $37.1 million. A decline of $6.7 million from Q1 as we realized about $3 million of ongoing quarterly savings as result of our Q1 cost reduction initiatives. The first quarter SG&A had included about $3.8 million of nonrecurring severance cost related to these measures. ER&D was $10.4 million or 7% of sales, which was about level with the first quarter. We reported Q2 income tax expense of $2 million reflecting a 26.8% tax rate for the quarter. We currently expect the effective tax rate for the full year to be approximately 30% as we achieve higher relative income associated with production in Malaysia where we are currently enjoying a 10-year tax holiday. Net income in Q2 was $4.9 million or $0.04 per diluted share. I want to point out that these results included $4.6 million or $0.04 per share of amortization expense. Shares outstanding on a fully-diluted basis at quarter end totaled a $113 million a decrease of about 1 million shares from Q1. During the quarter, we repurchased approximately $12 million worth of shares out of our authorized $49 million stock buyback plan. We have approximately 20 million remaining on the authorization. Inventory turns were 4.8 times, up from 4.5 in Q1 as we reduced our inventories by almost $7 million. Accounts receivable in $107.6 million, and DSOs of 66 days also decline from Q1. Appreciation totaled approximately $6.1 million, and capital expenditures for the quarter were $5.2 million. Cash, cash equivalents, and short-term investments totaled 132.4 million at the end of Q2, a decline of 6.5 million from Q1 reflecting the cash used to repurchase shares and to pay down long-term debt. As for our Q3 guidance, sales of unit-driven semiconductor products should remain stable, given the current chip production level. However, further weakening of the capital spending in the overall semiconductor market may lead to project pushouts that could impact the capital side of our business. As such, we current expect Q3 sales to be down slightly in the range of 140 to 146 million. We expect gross margin to be at similar level to Q2 as the benefits from our production move and other efficiencies offset the unfavorable impact of raw material price increases. We expect the EPS to range from the $0.03 to $0.05 cents, which includes approximately $4.3 million or $0.04 per share of amortization expense. With that, we’ll take your questions.
Operator: Thank you. (Operator instructions) And we’ll take our first question from Timothy Arcuri at Citi.
Timothy Arcuri: Hi, guys. Gideon, I just wanted to rectify something that I heard. I thought you said that revenue from OEMs was down 30% sequentially, but then I thought you also said that the CapEx-driven piece was actually 38% of revenue which would mean that there was actually – so I am just wondering if you could reconcile that.
Greg Graves: Tim, this is Greg. I mean, a portion of our CapEx sales go into the fab environment, for instance FOUPs are CapEx-related products and they are sold to the fab so, while the portion of our CapEx that went to OEMs was down considerably. Your point is exactly right on. Overall, CapEx sales were slightly ahead of last quarter.
Timothy Arcuri: Okay. And then, Greg in the question on margins, they seemed always be somewhat lighter than we would think and it seems like every quarter there is some kind of raw materials, cost issue, or some kind of incremental cost that you didn’t expect and I wondering what can be done to kind of sustainably control margin better? It just seemed like there is always kind of this one-timers that come up. Can you actually hedge more against this price increases? What can be done to avoid this kind of ongoing disappointments on the margin side?
Greg Graves: Tim, I would say on the margin side, we’re doing all the right things and we were focused on reducing our freight cost. We’re focused on reducing our duty cost. We closed three small facilities in the last year. In the current quarter, we were clearly hampered, which is lowest volume of production that we’ve had in the past 12 quarters. We also had probably the least favorable product mix that we’ve had in the last three or four quarters. So when I looked at the margin for this quarter, I always would like the margins to be higher than they are but I am comfortable actually where the margin ended up given the mix and volumes. We also have to remember the reduced inventory $7 million for the quarter which in this environment is a positive thing and we do not want to be carrying inventory if we run the potential risks of excess and obsolete. And another thing is the overall, I feel quite good about where we ended the quarter on the margin front.
Timothy Arcuri: Greg, let me asks you this way, so if, let’s say that you got up and not that this will happen or will happen, but let’s say that the revenue got back up into the mid, kind of 170 range like it was in the back half of ’06. Given your current cost structure, would you have similar 40% to 45% gross margin at that kind of 175 revenue?
Greg Graves: Absolutely, I am still hold with our model which we say it is a sort of a mid-cycle revenue run rate. We would have mid-40s gross margin.
Gideon Argov: If you looked at what this company is doing in terms of how we’re attacking cost and you looked for example at what happen on the OpEx here in the last quarter. Now, obviously OpEx is volume independent and gross margin is not and that’s major difference so we took a significant additional lack at OpEx here. You see the results in this last quarter. You’re going to see them over the balance of the year. What we’re doing in terms of the things Greg was describing dealing with freight issues, dealing with issues in terms of number of facilities, dealing with the issues including terrorist for example, moving products over the Asia, those things, don’t leave major footprints until you see increases in volume which to your point as you see that, we’re going to see the kind of fall down to the bottom line or character to the bottom line that is I think in line with what Greg was talking about. That’s the nature of how this cost moves get actually translated into results overtime as volume picks up.
Timothy Arcuri: Okay. Thanks.
Operator: And we’ll be next to Christopher Blansett of JP Morgan. Christopher Blansett − JP Morgan Hi, guys. When you looked into the third quarter guidance, are you already starting to reflect some of the Poco revenues and if you could give us some sort of quantification of that?
Gideon Argov: Personally, the guidance does not reflect the revenue because we don’t have a significant degree of certainty around when it going to close. I mean, we would expect that it will close if the HSR [ph] filings take the normal time in the next couple of weeks, but we don’t know that so we have not included that in our guidance. Christopher Blansett − JP Morgan All right. And then, given the tough times that the industry is saying and Gideon’s comment just a moment ago is it likely we would expect either additional facility shutdown as the transition of Malaysia occurs. Is that something that is probable not initially, absolute?
Gideon Argov: Christopher, we are constantly looking at our cost structure. It is not something we – I think you’ve seen that over the past number of quarters. We don’t tend to do that once a year or in isolation and our model continue to emphasize moving capacity over to really to be closer to our customer. Let me ask Bertrand to make a comment about this as well. Bertrand.
Bertrand Loy: Yes. Hi, Chris. This is Bertrand. Just to add on to what Gideon was saying. We have actually a very active program to fill up the cooling facility and the horizon for us is to have a facility in Malaysia fully occupied by 2010. So we currently have a number of programs related to the (inaudible). We are moving all of the (inaudible) ready for business into Malaysia and the next product lines would be around the PDA [ph] brushes. After that, it is probably little too earlier for us to comment, but again the thought I want you to be left with is that we have a very clear program to fill out the facility within the next two years. Christopher Blansett − JP Morgan All right. And then, just some housekeeping CapEx and depreciation, headcount in the quarter.
Gideon Argov: CapEx – first depreciation was 6.1 for the quarter. CapEx was 5.3 until we withhold as it relates to CapEx at our $25 million target for the year. Christopher Blansett − JP Morgan And head count?
Gideon Argov: 2500, Chris. Christopher Blansett − JP Morgan Okay. Thank you guys. I appreciate it.
Operator: (Operator instructions) We’ll go next to Jim Covello of Goldman Sachs.
Kate Kotlarsky: Hi. This is Kate Kotlarsky for Jim Covello. A question about your non-semi business, I was just curious if there is a specific target you have over the next couple of years in terms of what that could represent as the percentage of your total revenues and in maybe, specifically around the solar business, what you see the opportunity there and if you can provide us with some numbers around that at this point.
Gideon Argov: Kate, hello. Let me make a couple of comments and then, after Bertrand as well to say a couple of things. First of all, the non-semi portion of our business is about 20%. On a pro forma basis, once we add the Poco in that we’ll be about 25% of our revenues. I would be surprised if that number does not increase over the next couple of years. It would not be surprising to see that number go into the 30% to 40% range. That would depend on growth rates on some of the sub consumer electronics markets that were making in roads into. We have a team of people, Asia-based, that is working diligently to make in roads into markets where we can apply our filtration technology particularly to markets that are not related to semiconductor, but they used some of the same basic technology roadmaps and products that we have and I’d say where the evidence is early, but it is quite encouraging that thing. Number two, we shouldn’t be surprised to see us make some additional acquisition moves over the next year or two. And those with typically, the involved adjacencies of the kind that Poco represents. So Kate, it wouldn’t surprise me to see that number go to 30% plus certainly on the next 12 to 24 months. Bertrand?
Bertrand Loy: Thank you, Gideon and I believe you have addressed very fully the question, but let me just add with respect to your comment on solar. Solar today is a very minimum business for us. It is really a $2 million per year. The biggest opportunity for us will be around the (inaudible) and that something that we are currently looking at probably to a greater extent than we have ever done in the past. The other area would be to look for new business opportunities for the liquid filtration products and again, arguably we are seeing some tactical initiatives in the regions and one of the major priorities for me and my new role will be to really drive diversification efforts focusing on the liquid filtration capabilities that we have internally. So you should expect, back to Gideon’s comment, you should expect the non-semi part of the business to be probably around 35% to 40% over the next two years or so.
Kate Kotlarsky: And then just a follow-up, you mentioned one way we should think about these potential acquisitions that you could make. How should we think about sort of R&D that is required for you to sort of ramp up some of this capabilities? I know there is sort of a direct leverage in terms of the product that you currently have that you can use in some of the other areas. Are there certain investments that we should expect to be making over the next couple of years in order to further develop the capabilities?
Gideon Argov: Okay, our R&Ds are running at about $50 million a year. I don’t think you’re going to see that number go up dramatically at all. I think that we tend to make trade-offs between different kinds of R&D, but internally right now, we don’t see – it is more like $40 million not 50, excuse me. We don’t see that number going up dramatically and that’s because many of the products we will be introducing in this markets are derivative products. Some of them are going to be actually with the partners involving manufacturing and outsourcing so we don’t necessarily have to make everything ourselves and we’re going to be pretty careful about not ramping up internal R&D more than is required to make this notes [ph].
Kate Kotlarsky: Okay. Thank you. And just one final question on Malaysia, as you continue to move products there and perhaps increasing your supplier base in the region, how should we think about the margin benefit that you’re going to be getting over the next couple of years as you transition?
Gideon Argov: Kate, we talked about the move to Malaysia and we don’t quantify that in terms of specific number of base at this point and we looked at that and that’s one of tailwinds that we have in our overall margin picture. That’s the tailwind – getting closer to the customer on a lower freight cost, we viewed as a tailwind. The other thing I want to point out which was – is with regard to Malaysia, about 60% of the benefit of the move to Malaysia relates to the tax line. And so, this particular quarter where we report lower taxes, part of that that the onus [ph] for that was really a greater proportion of our revenue generated from our Malaysia facility where we enjoy the tax holiday today and don’t pay an income taxes so you got to look at the benefits from Malaysia both as it relates to the gross margin, but also the impact on the tax line.
Kate Kotlarsky: Okay. Thank you. And since you mention the taxes, how should we be thinking about the tax rate going forward?
Gideon Argov: For the balance – for this year, we would expect the rate to be in the 30% range for the entire year and over time, as I said we would expect that rate to move down into the highest quantity you say. I would expect, you just said two years, three years to not expect that rate to be 26%, 27% as we fill up Malaysia and drive more of our volume out of there.
Kate Kotlarsky: Great. Thank you so much. That’s it for me.
Gideon Argov: Thanks, Kate.
Operator: And it would appear that we have further questions in the queue. Mr. Argov, I would like to turn the conference back over to you for any additional and closing remarks.
Gideon Argov: Thank you for joining on the call. We look forward to speaking with you again. Good day.
Operator: That does conclude today's presentation. We thank everyone for their participation. You may disconnect your line at any time.